Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2012 HCP Earnings Conference Call. My name is Suzette, and I will be your coordinator today. [Operator Instructions]  Now, I would like to turn the presentation over to your host for today's conference call, John Lu, Senior Vice President. You may go ahead, sir. 
John Lu: Thank you, Suzette. Good afternoon and good morning. Some of the statements made during today's conference call will contain forward-looking statements, including the statements about our guidance. These statements are made as of today's date and reflect the company's good faith, beliefs and best judgment based upon currently available information. The statements are subject to the risks, uncertainties and assumptions that are described from time to time in the company’s press releases and SEC filings.
 Forward-looking statements are not guarantees of future performance. Some of these statements may include projections of financial measures that may not be updated until the next earnings announcement or at all. Events prior to the company's next earnings announcement could render the forward-looking statements untrue, and the company expressly disclaims any obligation to update earlier statements as a result of new information.
 Additionally, certain non-GAAP financial measures will be discussed during the course of this call. We have provided reconciliations of these measures to the most comparable GAAP measures as well as certain related disclosures in our supplemental information package and earnings release, each of which has been furnished to the SEC today and is available on our website at www.hcpi.com.
 I will now turn the call over to our Chairman and CEO, Jay Flaherty. 
James Flaherty: Thanks, John. Welcome to HCP's Third Quarter Earnings Conference Call. Joining us today are Executive Vice President, Chief Investment Officer, Paul Gallagher; and Executive Vice President, Chief Financial Officer, Tim Schoen. 
 Let me start by expressing our concern for all those impacted by Hurricane Sandy, especially those seniors residing in our communities. We have had our emergency team in place since last Wednesday, coordinating response and assistance with our operators and tenants. At this point, we have a multitude of communities experiencing leaks and minor flooding and several properties operating on backup generator power. Hardest hit were 2 Sunrise communities in Brooklyn, one of which was evacuated yesterday, and the other where the residents have been moved to the second floor due to flooding. All of the residents are okay.
 With that, we have much to update you on. So let's start by turning the call over to Tim. 
Timothy Schoen: Thank you, Jay. Today, I will cover 4 topics: Third quarter results; investment transactions; financing activities and balance sheet; and finally, our updated 2012 guidance. 
 Let me start with our third quarter results. Our same property portfolio again produced solid results, generating a 3.6% cash NOI growth compared to the third quarter last year. The results were driven by contractual rent increases from our triple net leases and occupancy gains in our life science and medical office portfolios. 
 Our quarterly same property results now include the triple-net master leased HCR ManorCare portfolio consisting of 334 properties. Paul will discuss our results by segment in a few minutes. 
 For the third quarter, we reported FFO of $0.67 per share, which included a noncash impairment of $8 million or $0.02 per share, resulting from the sale of a land parcel in Poway, California. This sale was part of a larger transaction with our tenant, General Atomics, which meaningfully expanded our relationship to 396,000 square feet under long-term leases through 2024. The transaction monetized in place into development a total of 26 acres of land, allowing us to stabilize additional non-income producing assets. Excluding the $0.02 impairment, FFO as adjusted for the quarter was $0.69 per share and FAD was $0.55 per share. 
 Switching to investment transactions. During the third quarter and through October, we executed on $2.3 billion of investments. First, we announced an accretive $1.78 billion senior housing portfolio acquisition that included 133 properties master leased to Emeritus on a long-term triple net basis valued at $1.73 billion, and a 4-year loan of $52 million secured by 9 properties concurrently being purchased by Emeritus. We expect to close on substantially all of the real estate assets as early as tomorrow, depending on the impact of the storm. This timing is approximately one month sooner than previously anticipated. 
 Second, we closed the acquisitions previously announced in July totaling $486 million, including 1.2 million square feet of on-campus MOBs and the mezzanine loan facility with Tandem Health Care. We made additional funding of development and capital projects totaling $63 million during the quarter. 
 Turning now to financing activities and balance sheet. On the capital markets front, during the last 4 months, we raised total proceeds of $1.5 billion in the equity and credit markets. On October 19, we issued 22 million shares of common stock, generating proceeds of $979 million. During the third quarter, we raised $515 million of debt capital consisting of $300 million of 10-year senior unsecured notes at a coupon of 3.15% and GBP 137 million or $215 million 4-year term loan at a fixed rate of 1.81%. Proceeds from these transactions were used to fund the cash consideration for our recently completed acquisitions, including using the term loan that currency hedge our U.K. debt investments in Four Seasons Health Care. 
 The remaining proceeds totaling $1.1 billion represent the 60% equity component of the $1.78 billion purchase price for our senior housing acquisition. In doing so, we've achieved the equity component of our 60% equity and 40% debt long-term financing plan just minutes after announcing the acquisition. 
 Turning to our credit metrics. At quarter end, our financial leverage was stable at 40%, and secured debt ratio improved to 9.1%. Fixed charge coverage for the 9-month period through September increased to 3.5x. Year-to-date, we have achieved a significant reduction in our cost of capital, allowing us to opportunistically capture over 300 basis points in lower borrowing costs upon the refinancing of debt and preferred stock totaling $546 million. This, combined with the accretive acquisition of a large unencumbered senior housing portfolio financed with attractive long-term capital, further strengthens our credit profile. Upon closing, our secured debt ratio will drop below 8.5%. And the trailing 12-month fixed charge coverage will trend at 3.7x. 
 We have no scheduled debt maturities for the remainder of 2012. And looking into 2013, our debt maturities total $873 million at an average rate of 5.9%, of which $150 million is due in the first quarter of 2013. 
 Finally, our updated 2012 guidance. As a reminder, we provided full year guidance 2 weeks ago, including raising our cash Same Property Performance, FFO as adjusted and FAD per share metrics and lowering NAREIT FFO per share due to acquisition-related items in the fourth quarter and the impairment charge mentioned earlier. 
 Let me take a moment to update our projections from 2 weeks ago. First, our new guidance assumes the closing of the Blackstone JV acquisition to occur one month sooner than previously anticipated. As a result, we are raising our earnings projections to reflect the additional accretion and reduced negative carry in the fourth quarter. We are increasing our FFO guidance by $0.03 per share to a range of $2.68 to $2.74 per share. Our FFO guidance includes the impact of acquisition-related items, preferred stock redemption charge and impairments totaling $0.07 per share. Excluding these items, we expect 2012 FFO as adjusted to range from $2.75 to $2.81 per share, which is $0.01 higher than our October 16 guidance. We are also raising our FAD guidance by $0.01 to range from $2.20 to $2.26 per share. In addition, we are tightening projected cash Same Property growth to a range of 4% to 4.5%. 
 With that, I will now turn the call over to Paul. Paul? 
Paul Gallagher: Thank you, Tim. Before I review HCP's third quarter portfolio performance, I'd note HCR ManorCare is now included in our quarterly Same Property Performance results, bringing HCP's same store portfolio to 94% of all investments. 
 Senior housing. Occupancy in our same property senior housing platform was 85.3%, a 20 basis point sequential decrease over the prior quarter and a 40 basis point improvement versus the prior year. Excluding HCR's 66 assisted-living and memory care facilities now in the senior housing same-store portfolio, occupancy for the senior housing portfolio was 85.7%, a 20 basis point sequential decrease over the prior quarter and a 30 basis point improvement versus the prior year. 
 Same-store cash flow coverage for the portfolio declined 1 basis point to 1.12x, driven by outsized fixed rent bumps on our transitioned assets and higher property expenses in our Brookdale portfolio. Current quarter year-over-year same-property cash NOI was up 2.1%. Growth was driven by rent steps including higher rents for assets transitioned to new operators, offset by the collection of additional rents in 2011 for one Sunrise portfolio. Net of this nonrecurring item, NOI increased 3.2%. 
 Occupancy for our RIDEA JV for the 12-month period ended June 30, 2012, is 86.1%, a 40 basis point decrease from the prior quarter. On a sequential basis, average third quarter occupancy increased 90 basis points over second quarter average occupancy. 
 Post-acute/skilled nursing. Coverage metrics in our post-acute/skilled nursing portfolio now reflect 3 quarters of lower reimbursement rates under RUGs-IV. For the trailing 12-month period ended June 30, 2012, HCR's fixed charge coverage ratio was 1.29x, a 15 basis point decrease. Rolling forward, for the trailing 12 months ended September 30, 2012, the fixed charge coverage was 1.21x, which included an increase of $39 million in reserves for insurance claims for the years 2006 through 2010. Excluding this $39 million charge, the fixed charge coverage would be 1.29x. 
 Digging a little deeper into September's trailing 12-month results, HCR's operations generated over $130 million of cash flow after rent. For the same period, HCR invested $101 million or over $2,400 per bed in its facilities, which is almost twice the amount required under our master lease. This significant reinvestment by HCR in our assets reflects the confidence HCR has in its business model.
 Cash flow coverage in our non-HCR SNF [ph] portfolio was 1.49x, a 9 basis point decrease versus the prior quarter and a 29 basis point decrease versus the prior year. Year-over-year, same-property cash NOI was up 3.6%, primarily driven by HCR's annual rent steps. 
 Hospitals. Same-property cash flow coverage increased 10 basis points to 4.83x, driven by strong performance at our Medical City Dallas and Tenant Hospitals. Year-over-year same-property cash NOI for the quarter increased 4.7%. 
 Subsequent to quarter end, Cirrus Health sold its interest in one of the surgical hospitals in HCP's loan collateral pool for $10 million. In addition, Cirrus has entered into a definitive agreement to sell a second surgical hospital with closing subject to regulatory approval. This sale is structured as an asset purchase, and proceeds are expected to be approximately $30 million. Together, the $40 million in net sale proceeds will reduce the carrying value on our Cirrus loan to $30 million. 
 Medical Office Buildings. Same-property cash NOI for the third quarter was up 2.8%. The growth was a result of normal rent steps coupled with increased occupancy versus the third quarter 2011. Our MOB occupancy for the third quarter increased 10 basis points to 91.5%. Excluding the impact of new acquisitions, occupancy would have been 91.9%. 
 During the quarter, tenants representing 615,000 square feet took occupancy, of which 418,000 related to previously occupied space. Our year-to-date average retention rate is 78.3%. 
 Renewals for the quarter occurred at 0.7% higher mark-to-market rents, with the average churn for new and renewal leases at 69 months. Our leasing pipeline remains strong with new and renewal prospects totaling over 1 million square feet, 45% above our remaining 2012 rollover exposure. 
 Life science. Occupancy for our life science portfolio increased 40 basis points to 90%, driven by new leasing in the Bay Area and San Diego. Same-property cash NOI was up 7% in the third quarter, driven by normal rent steps, the previously announced LinkedIn expansion on our Mountain View campus and a decrease in nonrecoverable expenses. 
 For the quarter, we completed 405,000 square feet of leasing, bringing the year-to-date total to 807,000 square feet, with a retention rate of 90.2%. 
 The life science development pipeline consists of 3 redevelopment projects totaling 166,000 square feet and 2 development projects totaling 185,000 square feet, with the total remaining funding requirements projected at $51 million. 
 A significant contribution to the third quarter's life science leasing total was a transaction with HCP's tenant, General Atomics, in Poway, California. The deal has 3 components: First, HCP agreed to sell 19 acres in Poway for $18.6 million. General Atomics will construct a corporate amenities facility on the site, which is adjacent to the buildings leased with HCP. Closing is expected by January 2013, and HCP recorded an $8 million impairment this quarter on the sale of the land. 
 Second, a blend and extend for 2 existing leases for 281,000 square feet, which lowered rents by approximately 16% in exchange for extending lease expirations on average 7.5 years to June 2024, with two 5-year renewal options. Importantly, we negotiated the elimination of the tenant's in-the-money purchase option. HCP provided no landlord-tenant improvements, and the new leases escalate at a fixed 3.25% annual rate. 
 Third, HCP will construct a new $23 million 115,000-square-foot building, 100% pre-leased to General Atomics with a projected delivery in July 2014. The new lease will also expire in June 2024 and will contain the same renewal options and also provide for 3.25% fixed annual rent steps. The projected initial return on cost on HCP's basis is 6%. This transaction reduces HCP's land exposure in Poway, creates a high-quality growing long-term income stream and expands HCP's relationship with General Atomics, the largest tenant in the Poway market by 30% from 281,000 square feet to 400,000 square feet by 2014. 
 Acquisitions. On October 16, HCP announced the 100 -- $1.73 billion acquisition of 133 senior housing communities from a joint venture between Emeritus and Blackstone. Emeritus will enter into a new triple-net master lease and will continue to operate the communities. Emeritus is obligated to spend $30 million for capital improvements during the first 2 years of the lease. This is in addition to $42 million already spent on the properties by the seller over the past 2 years. The lease yield in year one is 6.1%. We'll have a primary term of 15 years, and we'll have annual fixed rent increases that average 3.7% for the first 5 years. At the beginning of year 6, the rent on 34 leased-up assets will increase by the greater of 3% of the previous year's rent or fair market capped at 130% to capture potential upside from these nonstabilized assets. 
 Finally, as a part of this transaction, HCP will provide debt financing of $52 million to Emeritus for their acquisition of 9 remaining properties. 
 On July 31, 2012, HCP closed a $205 million mezzanine loan facility to an affiliate of Formation Capital as part of the recapitalization of its Tandem skilled nursing portfolio. The 68-property portfolio is 100% master leased to LaVie Care Centers, the operators of 208 skilled nursing facilities in the U.S. The loan will subordinate the $400 million in senior mortgage debt and $137 million in senior mezz debt and will be funded in 2 tranches: $100 million funded 2 months ago, at a 12% fixed rate; and $105 million second funding, at a 14% fixed rate. 
 The second tranche will be funded no later than August 31, 2013, and the proceeds will be used to pay down the senior mezz loan. The loan has a blended yield to maturity of 13%. The facility, which closed on July 31, has an initial term of 5 years. The 68-property portfolio located across 6 states has an occupancy of 93%, a quality mix of 52%, an NOI margin of 17%, and in-place rent coverage of 1.3x. This debt transaction provides HCP with an attractive risk-adjusted exposure at a 10.5% rent yield to last dollar investment. 
 Sustainability. HCP was named sector leader in the health care hospitality sector for the 2012 Global Real Estate Sustainability Benchmark survey. We were also designated as a Green Star, the highest designation in the survey. 
 Separately, the FTSE Group, the global leader in providing index and analytical solutions, added HCP to their Socially Responsible Investment Index series, which includes The Global Benchmark, U.S. benchmark and U.S. 100 Index series. These indices measure the performance of companies that meet globally recognized corporate responsibility standards. 
 Our response to the carbon disclosure projects 2012 investor questionnaire generated a very favorable result for a first-time respondent. During the quarter, we received an additional 2 ENERGY STAR labels in our medical office portfolio, bringing HCP's total ENERGY STAR labels to 77. 
 HCP's best practices, implementation and investment in energy-saving technology resulted in continued positive economic results. On a same-property basis, utility expenses were down $578,000 versus the third quarter of 2011 and $1.2 million on a year-to-date basis. 
 With that, I'd like to turn it back to Jay. 
James Flaherty: Thanks, Paul. Too frequently, the quarterly earnings call process nearly focuses on the past quarter rather than providing perspective across multiple quarters. As background for my remarks today, I want to highlight comments from our 4 prior quarterly calls. 
 A year ago on, our Q3 2011 call, I detailed HCP's philosophy of utilizing RIDEA structures for senior housing investments. To compensate for the additional risks of cash flow uncertainty and CapEx liability with RIDEA structures, we expect a premium over the return achievable through a triple-net structure. Said differently, we prefer negotiated, accretive, triple-net acquisitions of unencumbered real estate with creditworthy counterparties. 
 On our Q4 call of last year, I anticipated substantial M&A operator consolidation across each of our property types in the coming years as real health care reform began to take shape in the marketplace. 
 On our first quarter call of this year, with significant activity sourced by our proprietary 5x5 business model, I noted the steps we have taken to prepare our balance sheet for increased transaction volumes and meaningfully reduce our cost of capital by repricing our $1.5 billion line of credit and reducing our leverage ratio to historically low levels. 
 On the very same call, in response to an analyst question regarding our then relatively low level of acquisition activity, I referenced Ted Williams' famous advice of, needing to wait for the right pitch. I also placed a priority on monetizing our nonstabilized investment portfolio. 
 And on our second quarter call, 3 months ago, I noted the increasingly attractive outlook from making accretive acquisitions and predicted that HCP's quarterly deal volumes would ramp sequentially during 2012. 
 Let me now tie these perspectives together with our recent accomplishments. One, we finally got the pitch we were waiting for, and it was a fastball, right down the middle of the plate. HCP's $1.73 billion acquisition of the Blackstone-Emeritus JV was a negotiated transaction of 133 senior housing communities, with significant upside leased to Emeritus in a triple-net structure. This portfolio will be acquired on an unencumbered basis, provides attractive annual escalators and our fair market value rent reset in 5 years on the 34 lease-up communities. 
 The transaction allows Emeritus to secure the long-term management of these properties; generates proceeds to Emeritus of $140 million, which significantly increases their credit profile; and provides funding for an incremental $30 million CapEx investment by Emeritus for this portfolio. 
 By pre-funding the equity component of the purchase price 2 weeks ago, HCP locked in substantial earnings accretion for 2013 which will grow over time. 
 I want to express my appreciation for the extraordinary, diligent and cooperative efforts of the Blackstone, Emeritus, Chicago Title and HCP business and legal teams, which results in our ability to close a transaction of this size just 2 weeks after it was announced.
 Two, we are pleased to have made progress monetizing what we referred to as our nonstabilized bucket of investments. Agreements to generate $40 million of proceeds against our $69 million Cirrus loan were entered into this month, and we expect being able to report additional paydowns in the future. 
 In addition, this quarter's General Atomics transaction extends existing lease term, eliminates purchase options and monetizes a portion of our San Diego County landholdings. We anticipate additional monetization of our land inventory in 2013. 
 Three, our 5x5 model continues to be especially active, with dialogue across each of our investable targets. Year-to-date announced acquisitions are $2.5 billion and have grown sequentially by quarter throughout the year. This $2.5 billion in transaction volume represents a 13% increase in assets under management since year end 2011.
 Four, among a number of sustainability accomplishments, we are thrilled to have been named sector leader for the 2012 Global Real Estate Sustainability Benchmark survey. This recognition represents the successful effort and ongoing commitment of a number of HCP colleagues to our various sustainability initiatives.
 Finally, with regards to our HCP colleagues, like every organization, HCP takes great pride in the accomplishments and value add of our talented team members. 2 weeks ago, Merrill Lynch's global research team noted that our market cap per employee was the highest in the REIT sector, an astonishing $175 million of market cap per employee. One would expect nothing less from a bunch of dividend aristocrats and sustainability sector leaders. 
 With that, we're delighted to take your questions. Suzette? 
Operator: [Operator Instructions] And your first question comes from Michael Carroll. 
Michael Carroll: In the acquisition market today, how many of these, I guess, large portfolio deals are still available? 
James Flaherty: Time will tell, Michael. 
Michael Carroll: Okay. And then related to the Emeritus and Blackstone deal, I think the press release indicated that will close in phases. Can you kind of give us more color on how large each phase will be? 
James Flaherty: Well again, in my comments of just a minute or 2 ago, I noted the rather extraordinary efforts that have been put forth by the business and legal teams at Blackstone, Emeritus, Chicago Title and HCP. And it now looks, as we sit here today, that we have a very good chance of closing the entire transaction tomorrow, which, when you think about a transaction that was just signed and announced 2 weeks ago, and it's $1.73 billion in total transaction value, representing 133 separate properties, is an absolutely extraordinary accomplishment. 
Michael Carroll: Yes, that would be pretty quick. And then related to, I guess, Jay, your comments that you would monetize more land in 2013, do you mean you'd start more developments or there is more outright land sales? 
James Flaherty: It could take either path. 
Michael Carroll: So it's a combination that you're thinking right now? 
James Flaherty: I said it could take either path. 
Michael Carroll: Okay, great. And then related to the General Atomics transaction, did you buy another land parcel to do that development? 
James Flaherty: No, no, that was part of our initial landholding when we acquired Slough back in August of 2007, and we have, over time, grown our relationship with General Atomics, which obviously is experiencing a very, very favorable demand for its products. And so we've grown that over time rather consistently, and now we're up to 400,000 square feet if you include the [indiscernible] building that we'll be bringing online. 
Michael Carroll: Okay. And then what am I missing from the previous supplement? It said that you had land held for development of 182 acres, and now it says you have 174 acres, and in the press release, you've indicated that you sold
 consistently, and now we're up to 400,000 square feet if you include the build-to-suit building that we'll be bringing online. 
Michael Carroll: Okay. And then what am I missing from the previous supplement? It said that you had land held for development of 182 acres, and now it says you have 174 acres, and in the press release, you've indicated that you sold 19 acres to General Atomics. 
Timothy Schoen: Yes, Mike, it's Tim Schoen. There's another -- that sale actually will be effectuated in the fourth quarter so that will come off our landholdings by the end of the year. 
Operator: Your next question comes from Philip Martin. 
Philip Martin: You noted in your remarks that their investment level going forward is going to be significantly larger than what's mandated under the terms. Number one, is that a surprise to you? And can you give us a bit more detail, I mean, the investment sounds more than just cosmetic or maintenance. Is the investment more representative of a repositioning play with respect to certain assets that may improve the risk and reward profile underlying valuations? Just want a bit more detail on those comments. 
James Flaherty: Yes, your first part of your question cut out. I'm assuming, Philip, you're referring to HCR? 
Philip Martin: Yes, HCR, I meant, yes. 
James Flaherty: Well, they have gone into playing offense mode. They are -- they've got great conviction about their business model, and they're obviously generating a significant amount of cash. They've got a significant amount of cash at quarter end, at September 30, they're sitting on just about $130 million. But as Paul noted in his comments, they've reinvested in their business model in terms of our facilities approximately 2x the amount that is required -- the minimum by the lease. And what you really seen -- I mean, this is really -- you're seeing the early stages of what we call HCR version 3.0. This was the leader in the 90s with respect to the institutional skilled nursing business after the ManorCare investment acquisition in 1999. They morphed their business model to a higher acuity, more complex shorter-stay business model. And now what you're seeing is real health care reform start to play out in the post-acute setting, which involves payers, providers, very large acute care hospital operators. You will see cost shift here. You will see capitation. You may see some bundling going on. And you've got a management team here that has consistently taken advantage of changes in the marketplace. And that's what they're going through right now, and they have moved into, very much with conviction, what I'd call playing offense in their business model. And I suspect you're going to see some very, very good results in the next year or 2 to come. 
Philip Martin: So it sounds pretty comprehensive in terms of service levels being improved, probably technology just within the integrated health system and I'm sure some cosmetic as well, so it's kind of, as you said, going on offense, it's pretty compressive here. And is there a meaningful change in service that's happening from current levels with this investment? 
James Flaherty: That's part of it. Let me just underscore one of your points. This is far more than cosmetics that are going on here, okay? So this is -- HCR is in discussions with dozens of potential partners all focused in their cluster markets. And as they retool here for what will really be true health care reform, not something that comes out of a legislation from Washington D.C. with the likely involvement or inclusion of block grants to the states, they're really getting very well-positioned here for the next couple of year periods. So it's -- frankly, I find it fascinating to watch how this management team is -- continues to evolve and be very dynamic in their response to what is going to be a very, very good opportunity. And of course, everything at the end of the day is a function of the fact that in the health care continuum, they represent the lowest cost setting. So they're sitting there and with that enormous business advantage and now retooling their business model, investing aggressively their own capital into our properties to position themselves to take advantage of this. 
Philip Martin: And again, and I appreciate the color, the -- from an outcome standpoint, have -- in your discussions with them, have you seen an increase and improvement in health care outcomes from the services they provide? Has that been or is that -- is it still somewhat... 
James Flaherty: Their outcomes have always been superior. We are -- year-over-year, you do see a meaningful increase in census. So if you do a spot -- October 2011 versus an October 2012 spot occupancy, I mean, that's up meaningfully. And I think -- so I'd make that observation. 
Philip Martin: Okay. So trends sound positive both from a cost efficiency standpoint and a health care outcome standpoint? 
James Flaherty: Yes, Phil. 
Operator: Your next question comes from Jeff Theiler. 
Jeff Theiler: A couple of questions about the Fund West portfolio that you purchased. The initial coverage is a little bit skinny, less than 1 1, but you have some reset potential there. Can you talk about specifically what Emeritus is doing to drive the lease up there? And maybe how much of their CapEx commitment is going directly to those lease-up communities? 
James Flaherty: Yes, well, let me give you the kind of the silver bullet here. They've managed this portfolio for 2 years. In those 2 years, there's been $42 million invested by the venture. And as we sit here today, that has gone into transitioning 52% of the communities so that those are now branded Emeritus. The flip side of that is that 48% of this portfolio today, 48%, Jeff, is not branded with Emeritus' operating discipline. So what you'll see, this $30 million that has now been funded as a part of this transaction to Emeritus, you will see them finish off the job, if you will, in the next 12 months. You'll see them invest that $30 million to convert the remaining 48% of this portfolio into branded Emeritus communities. And this is why it was so important when Paul and Kendall and their team were structuring the transaction, that we had an indirect participation in this cash flow because you can see in the first 2 years, for where they had invested the capital, they had an occupancy spike of 800 basis points. So by structuring the transaction so that we have indirect participation, not 1 but 2 ways, number one, we've got these outsized escalators in the first couple of years starting at over 4%, averaging 3.7% annually for the first 5 years. And then specifically on the lease-up portfolio, which is going to get the majority of this $30 million CapEx, we have the right after 5 years to move that rent to market subject to a cap of 30% of the prior year, which would be the year 5 cash flow. 
Jeff Theiler: Right. And do you have a sense for what the overall occupancy is in those lease-up markets? I mean, what do you consider to be kind of stabilized occupancy because I know those markets aren't necessarily the top markets. They're kind of more secondary type markets is my understanding. 
James Flaherty: Well, the occupancy, I think that was all in the press release, Jeff. The occupancy in the lease-up component of the 133 properties was 74%, 75%. 
Jeff Theiler: And what do you anticipate stabilized -- once Emeritus goes through that transformation and brands all the committees and all that, where do you see that going and over what timeframe? 
James Flaherty: I think you could see that certainly moving up to 80%, and then over time, 85%. Again, we think -- I would go directly to where we set that fair market value reset at the end of year 5, so we think it will take a few years to move that component up, but this is one of many reasons why we're so excited about this transaction. 
Jeff Theiler: Okay. And then sorry, one last follow-up on the coverages. So initially, again, it's a little low, can you just talk about what you project out over the next kind of at the end of year 2 and year 3, how fast that coverage moves up? 
James Flaherty: I think you should -- I think it's instructive for you to look at the pace of the annual escalators in the first couple of years. I think that direction will give you a sense as to how fast those coverage is going to move up. 
Operator: Your next question is from Rich Anderson. 
Richard Anderson: Jay, just to that last question there, you said look at the escalators to figure out how the coverages are going up. I don't quite understand that. If your rent escalators are going up, their profitability has to go up by a commensurate amount to maintain coverage above 1. Am I misunderstanding something? Can you explain that last comment you made? 
James Flaherty: Well, if we wanted to maintain 1 but we're not actually maintaining 1. You'll see their cash flow go up not commensurately. You'll see their cash flow go up at a faster rate, Rich. 
Richard Anderson: And that's because of the deployment of the CapEx. But what's the long-term prognosis for this -- or in part, because of that -- what's the long-term prognosis from a CapEx perspective? I mean, I guess the $30 million isn't really deferred maintenance, it's more of a rebranding initiative. So how much... 
James Flaherty: It's part rebranding, part some repositioning, some expansion. Again, we're very fortunate, we have perfect information because we've seen the Blackstone JV invest $42 million and get phenomenal returns on that investment. And then we ourselves have seen what has happened when we've transitioned properties to Granger Cobb and his team. With respect to not 1, not 2 but 3 portfolio transitions we moved from Sunrise that included initial CapEx spend that we funded and we've been able to monitor the very strong results that Granger and his team have affected. So we've got proven commodity here. We've got a ray source in Granger and Emeritus team that has demonstrated on multiple occasions with multiple portfolios the ability to transition properties, rebrand them with Emeritus and grow cash flow. And we've seen that in this portfolio with respect to the stabilized component of that. And now with the benefit of the incremental $30 million that Emeritus will fund into our triple net structure, triple net lease structure, you'll see that the lease-up component come up as well. 
Richard Anderson: Okay. So if your rent escalators are averaging 3.7% in the first 5 years, you're saying that they're going to grow rental revenue at the property level by something more than 4% over those -- that same timeframe, it's going to be even greater than that. It that what you're telling us? 
James Flaherty: Exactly. 
Richard Anderson: Okay. And does the coverage include the kind of recurring CapEx that is -- that will happen after the $30 million? And what is that number? Is it $1,500 a unit? Is it $1,000 a unit? What would you say the number is? 
James Flaherty: Well, our coverage is -- our triple net coverages because, again, this goes into our orientation towards when you look at triple net structures, you have that CapEx responsibility is a responsibility of the tenant. So our coverages wouldn't pick that up. If we were in a RIDEA structure, it's much more relevant to look at economic cap rates, because there, the CapEx is a liability of the landlord, the REIT. In this case, the CapEx is a liability of the tenant so it's more instructive to look at nominal coverage ratios. But once the $30 million is invested in the next 12 months to transition and rebrand the remaining 48% of this portfolio, I think you're probably looking at the next couple of years as being plus or minus $500 a unit and then that will grow over time. 
Richard Anderson: That low huh, okay? For class B, C portfolio. Is that the right way to think of it, class B, C maybe? 
James Flaherty: No, I think -- well, I think it depends what the B and C refer to. If the B and C refer to not a top MSA 31 market, I think that's fair. But these are A property or A-quality properties. They're in secondary markets. But for example, I'd give you 2 points of comment there. If you're looking to Emeritus' strategic plan as disclosed in their annual report and their most recent Q, they specifically target this middle market, the market segment that they feel is most attractive to them, which is smaller cities and suburbs with populations of 50,000 to 150,000 people. So when we've transitioned the portfolios that we've transitioned, we've seen them extract and get those portfolios performing by an order of magnitude better than had been previously the case. So I'd be careful with B and C. If B and C, you're referring to not a top-sized MSA 31 market, I think that's fair. But these are very high-quality properties. Paul and I visited one in the Preston Hollow section of Dallas, which is literally located next door to the Carell Clinic, and Preston Hollow is one of the more affluent parts of Dallas. The Carell Clinic would be Dallas' version of the Mayo Clinic. So you've got some very high-quality real estate here, but they are located in sized markets that are next tier down than the top MSA 31 markets. 
Richard Anderson: Great. Fair enough. And just so I understand, call it 1.1 or 1.08 or the number it was, that the coverage coming out of the gate, if you were to include CapEx in that analysis, you'd be below 1. I'm not saying we should -- I'm not suggesting we should do that, but at least for the time being, it's going to be a below 1 cash flow coverage at the profit level, including CapEx? 
James Flaherty: Yes, I think that would be relevant, Rich, if we were acquiring this subject to a RIDEA structure. You've got to change your orientation here. There's RIDEA and there's triple net and they have different economic responsibilities between the landlord and the operator tenant. Paul, did you want to add something? 
Paul Gallagher: Yes, I think, Rich, when you look at what will have been spent over a 4-year period, they're going to spend $7,000 a unit. We did underwrite into our rent steps and into our rent reset in the fifth year over $1,000 a unit in CapEx that the landlord would be spending and took that into consideration when we negotiated what those rent bumps would be. 
Richard Anderson: Okay. And then just last question on HCR ManorCare. Would you have a situation like property-level rent coverage, is that 1.04x and the fixed charge OpCo coverage is 1.29x. Why would HCR ManorCare, I mean, just kind of -- it's a rhetorical question but that's kind of weighing down their profitability, right? For 1.04x versus the 1.29x? So is the CapEx kind of that they're going to spend, is that kind of recognition of this and they want to get the 1.04x up to something that's more in line with what you're seeing at the fixed charge level? Is that a fair way to think about it? 
James Flaherty: Well remember, HCR's business model is quite complex. They create multiple cash flows out of our properties that they manage. So they've got a variety of the ancillary businesses that produce very substantial cash flow. You heard Paul's comments for the period of time that ended September 30, 2012, which was the 12-month period most impacted by the changes from August 2011, they still generated, after rent obligations to HCP, $130 million cash flow. So this is a very, very significant business, and it is our properties that allow them in large part to create the value for their shareholders. 
Richard Anderson: But not debating that at all, about the quality of the company, but 1.04x versus 1.29x, they don't want a lower profitable business if they can avoid it, right? So that's the reason for the CapEx, to close that gap. Is that what's going on? 
James Flaherty: I think I made -- in response to a question earlier, what you've seen here is a significant change in this business, the post-acute just in the last 12 months. Everybody took a look at the 11.2% cut, which we never underwrote any of that in our underwriting. But what only now with the benefit of perfect hindsight that people can now see for the industry is the cut was -- the net effect of the cut was far greater than 11.2%. You had very significant changes, increases in the cost structure that related to the group in concurrent therapy. So you've now seen -- you're now experiencing trough coverages, if you use the 12 months ended September 30, 2012. Now recall, we only have the 12 months ended June 30 in our supplemental, so we're kind of giving you a heads-up on what we'll report the next quarter. If you look at these coverages for the 12 months ended 9/30/12, this represents a trough coverage. You'll see in fourth quarter calendar quarter, you'll see those coverages start to come back up. Notwithstanding that, with the changes to this business, this company has aggressively: A, generated cash flow; B, invested much more cash flow than they're required to under the lease; and C, are now in a position, and this is why I referenced the HCR version 3.0 of this business model, to really play offense in 2013 and 2014 with what will likely be part of a grand bargain with whoever is the new President and whoever is sitting in Congress, the beginning of some serious health care reform. 
Operator: Your next question comes from Jorel Guilloty. 
Paul Morgan: It's actually Paul Morgan here with Jorel. Just going back to the Emeritus, maybe just I could ask slightly differently. So you've got like 12% to 13% rent growth in the escalations that are sort of before it stabilizes. And what do you think of as -- what are you underwriting for your coverage at the end of that period? And then kind of how are they going the growth in excess of the -- where is that going to come from? I know that you're talking about the $30 million investment. Are there any incremental units? Are they -- is it growth in occupancy because occupancy seems pretty high for the stabilized portfolio? Is it just rent upside from the facelifts to the assets. Just any kind of color about that? 
Timothy Schoen: Yes. Paul, in terms of the underwriting assumptions, it's really very mild growth, about 3% upside and rent growth and about 100 basis points in occupancy pickup. 
Paul Morgan: And then where would that leave you in terms of coverage at the end of year 4? 
James Flaherty: My guess is you're probably bouncing between 110 and 115, notwithstanding the outsized annual bumps in rent. 
Paul Morgan: Okay, great. And then I just want to -- I just want to make sure. So you said that what you report next quarter in terms of the HCR ManorCare coverage should be the trough and then we should go from there based on kind of the same type of reporting that we're seeing? 
James Flaherty: Yes, well, we're already close to what it was. In Paul's remarks, he's already gone -- fast-forwarded to September 30 numbers. Recall that we report these numbers on a 3-month lag. But again, we've got those numbers and we've communicated those to you on this call this morning. And we've also noted the rather aggressive actions HCR is taking with respect to investing its  -- reinvesting its business model and the very strong level of liquidity that they have currently. 
Operator: And your next question comes from Ross Nussbaum. 
Ross Nussbaum: I'm here with the Derek Bower. 2 questions on the Sunwest portfolio. First, Jay, where do you peg your acquisition costs and I guess relative to replacement cost? 
James Flaherty: I think, overall, Ross, I think we're -- I don't have the number in front of me, it could go about $157,000 a unit. I think that number was a little higher on the stabilized portfolio and a little lower on the lease-up. To be honest, I think that's probably right around replacement cost, Ross. 
Ross Nussbaum: Okay. If I look out 5 years and I think about the benefit you're going to get from not just the contractual rent bumps but the potential rent reset on the lease-up facilities, based on your underwriting, where do you see the yield on this portfolio in year 5? 
James Flaherty: Well, we negotiated really hard for a higher cap than 130% of year 5 rent. And Emeritus, to their credit, negotiated what we preferred something lower, so we settled at 1.3%. But if you just assume that it goes to the cap, I think your -- I think the 5-year compounded annual growth rate in NOI grows to 4.7%. 
Ross Nussbaum: So if I take 4.7% and compound it for 5 years, you're suggesting that will get me to the right answer? 
James Flaherty: That would the number at -- well, remember, we're not -- with the sharing, HCP is sharing with Emeritus. So obviously, anything north in the scenario of where we hit the max on the cap of 130% in year 6 rent for the lease-up of the year 5 cash flow, we would be capped, maxed out at 130% of that number, and that would calculate out to over that 5 years of 4.7% compound annual growth rate, which obviously, in the context of a triple net structure where the CapEx liability is the responsibility of the tenant from a risk-adjusted return standpoint, is very, very attractive return for HCP shareholders. 
Ross Nussbaum: With the HCR ManorCare. I was looking back at the coverage ratios, a year ago at least, as you reported them at 12/31/11. And at the OpCo, the coverage was 166. At the facility level, it was 137, so we're talking, give or take, call it 35 basis points of erosion in those metrics. And I guess the question I would have is there was a lot of talk over the last year about how HCR ManorCare was going to mitigate the reimbursement change, and I guess I'm not seeing a lot of mitigation in the numbers that you're reporting. But based on some of your comments, you're suggesting that perhaps some of that mitigation will start showing up going forward. And I guess my question is why is it going to start showing up going forward? Why hasn't it already shown up? 
James Flaherty: Well, again, I don't know if you heard the answer to my previous question, but they did a great job mitigating the 11.2%. The problem was and it wasn't just a problem unique to HCR, it was endemic in the industry, the real economics of the August 2011 CMS reductions were far greater than the RUGs-IV benefit going away. They included a substantial increase in the cost structure because of the group and concurrent therapy cost increases. So we're now seeing -- now that you've seen the benefit of the full 12-month effect, you're basically seeing a 1 5 underwritten coverage declined to 1 3 if you eliminate the prior-year 2006 to 2010 insurances, you're $130 million. So basically that increase you can now quantify for the full year of the impact of this new business model as 20 basis points of the incremental costs associated with the August 2011 CMS announcement. Fast-forward to where we are today, we're now in the fourth quarter. They're going to get an increase -- they've already gotten the increase of 1.8%. We'll see what happens with sequestration in the new year. But that's why I've indicated these are -- you ought to think about these coverage ratios as of September 30, 2012, as trough level of coverages. Notwithstanding all that, they've aggressively moved to reinvest in the business because the business model is going to be different in the next couple of years. You're going to see whether you get block grants to the state or not, you're going to see cost sharing, you're going to see some capitation, probably some bundling. And this is a business model that within the cluster markets that HCR operates in is going to have very much of a -- the Affordable Care Act, some of the dimensions in terms of the accountable care organizations and things like that. So that -- you're really seeing a very dynamic change in this market. I would say, if you look across our 5 sectors right now, you've probably got more going on in this post-acute setting right now as people position for what could come out of a grand bargain scenario next year than in any of our other 4 sectors. 
Ross Nussbaum: And just one final question. What is your contractual rent increase in 2013, in those HCR ManorCare assets? 
James Flaherty: It's 3.5% each year for the first 5 years. 
Operator: Your next question comes from Rob Mains. 
Robert Mains: Just a couple of quick ones. First of all, Emeritus, the lease, does that have any purchase options embedded? 
James Flaherty: No, it doesn't, Rob. 
Robert Mains: Okay. And then just a follow-up yet again on ManorCare. Given what you're seeing in the opportunities there, would you be interested in -- there's some CapEx spending that you did in the quarter. How interested is HCP in doing more on that front with ManorCare? Would they prefer to fund it themselves? 
James Flaherty: I'm sorry, we didn't do any CapEx spending, Rob. That was all funded by HCR. 
Robert Mains: I realized but you've done some -- HCP has done CapEx spending generically. Would you be interested in doing more with ManorCare or do they want to do it themselves? 
James Flaherty: I'm a little confused. These are triple net lease structures. So the CapEx responsibility is the responsibility of the tenant, much like the Blackstone JV transaction we just announced where Emeritus is our partner in a triple net structure. When we do CapEx spending, we will do that in our medical office where we'll do TIs or potentially in the life science space. But under triple net structures, the CapEx is the responsibility of the tenant. 
Robert Mains: Right. I think we're defining CapEx differently. If ManorCare wants to expand the facility or build up big new gym and it's going to be $2 million or whatever, $5 million whatever to do it, that will be an opportunity for you to invest additional funds in the facility and then get the same, I assume, the same return on that investment that you're getting on the current lease. Is that something that HCP is interested in? 
James Flaherty: Well, first of all, it's HCR, as you know, it's not ManorCare. And secondly, Sure, we'd be interested, but HCR has substantial liquidity. That -- my guess is that they've got higher and better uses for the liquidity than to be adding to the rent obligation to HCP. But certainly, were they to come to us to have that discussion which they've not, I mean, they're generating substantial amounts of cash flow in excess of our -- their rent obligation to us and they're sitting on substantial amounts of cash liquidity. So that's not a discussion that's taken place. 
Robert Mains: Okay, fair enough. And then the last question, given your comments about what you see is the opportunities in that sector, has your view of new investments in skilled nursing changed? 
James Flaherty: No, I think any time you get an external shock to a system, that is a catalyst for M&A activity. And the August 11 CMS announcement was a major shock to the system. I think for the first couple of quarters, people limited the impact to that to merely the benefit, the RUGs-IV benefit that existed for fiscal year 2011 as going away in fiscal year 2012. The reality is, given the cost -- increased cost structures with that CMS announcement, the impact was far greater. As HCR and other leading players have retooled their business model, I think -- I continue to believe you'll see significant consolidation in this space. And by the way, I think you're going to see, as I've said on my prior calls, you'll see significant M&A consolidation in some of the other spaces as well. That will be for different catalyst reasons but in this case, it really -- it all starts with the August 11 CMS announcement. 
Operator: Your next question is from John Roberts. 
John Roberts: Jay, you mentioned the impact of the storm. Have you -- I know it's early in the valuation process but have you seen any charges on that? Or it's covered by insurance? Or are the tenants going to be the ones that cover any potential damage? 
James Flaherty: Gee, we haven't even -- the 2 Sunrise communities that I've pointed out, I've been back and forth with their CEO, Mark Ordan, several times this morning. In fact, his mom is resident in the community that got evacuated yesterday. So all we're focused on right now is the safety and protection of the residents. 
John Roberts: Sure, sure. I understand that. But what I'm looking for is will there be any charges based on potential changes. I mean, you've got those 2 but there's lots of others you have on the East Coast but obviously, at this point... 
James Flaherty: Again, for the most part, in a triple net structure -- first of all, we have significant insurance coverage. Secondly, most if not all of those properties, there are some MOBs, by the way, that have some minor flooding, most of those are triple net structures. But again, that's -- we're not even thinking about that. We're making sure that the residents, that the very dear residents in these senior housing communities are safe and protected. And to the extent we've had to evacuate them, making sure that they're in an equally safe and protected and caring community. 
Operator: I will now turn the call back to Mr. Flaherty, CEO. Please go ahead, sir. 
James Flaherty: Thanks, Suzette. Thank you, everyone. Again, especially for those of you that are impacted by the storm, I'd leave you with 3 thoughts: One, please, please, please be safe; two, please go out and vote next Tuesday; and three, go Irish. Thank you. 
Operator: Thank you. This concludes today's conference call. You may now disconnect.